Operator: Good morning and welcome to the Builders FirstSource, First Quarter 2015 Earnings Conference Call. Your host for today's call is Mr. Floyd Sherman, Chief Executive Officer. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Any reproduction of this call in whole or in part is not permitted without prior written authorization of Builders FirstSource. As a reminder this conference call is being recorded today, April 24, 2015. The company issued a press release after the market closed yesterday. If you don't have a copy, you can find it on our website at bldr.com. Before we begin I would like to remind you that during the course of this conference call management may make statements concerning the company's future prospects, financial results, business strategies and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from expectations. Please refer to our most recent Form 10-K filed with the Securities and Exchange Commission and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. We have provided reconciliations of non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in our Form 8-K filed yesterday, both of which are available on our website. At this time, I will turn the call over to Floyd Sherman.
Floyd Sherman: Thank you and good morning. Welcome to our first quarter 2015 earnings call. Joining me from our management team is Chad Crow, President, Chief Operating Officer and Chief Financial Officer as well as Marcie Hyder, our Vice President and Controller. After I give a brief recap of the current quarter, I’ll turn the call over to Chad who will discuss our financial results in more detail. After my closing comments regarding our outlook, we’ll take your questions. I’m extremely pleased with our start to fiscal 2015 as our first quarter sales of $371 million, our gross margin percentage and our adjusted EBITDA of over $11 million, all exceeded our first quarter 2014 results. We were able to achieve these positive results despite the relatively flat single family housing starts in the south region and the negative impact of commodity depletion on our current quarter sales as average market price for framing lumber have fallen 11.8% since the beginning of the year and are down 13.6% when compared to the first quarter of 2014. As a result our lumber and lumber sheet good sales were down 1% versus first quarter 2014 sales in the same product category. However, our value added sales of prefabricated components, windows & doors, and millwork increased 12.8% versus first quarter 2014 sales in the same product categories, largely due to our recent acquisitions. I’ll now turn the call over to Chad who will review our financial results in more detail.
Chad Crow: Thank you Floyd, good morning everyone. For the current quarter we reported sales of $371 million compared to $345.9 million for the first quarter of 2014, an increase of $25.1 million or 7.2%. Excluding the impact of recent acquisitions, we estimate sales volume increased approximately 2.2% for the quarter, which was offset 1% by the negative impact of commodity price deflation on our sales. Breaking down our sales by product category, prefabricated components were $78.8 million, up 11.8% from $70.5 million in the first quarter of 2014. Windows & doors were $85 million, up 11.4%. Lumber and lumber sheet goods were $114.3 million down $1.2 million from approximately $115.5 million in 2014. Our millwork category was $39.5 million, up 18.1% and other building products and services were $53.4 million, up 6.4% from last year. From a product mix standpoint our value added product categories continue to make up the higher percentage of our overall sales as our prefabricated components windows & doors and millwork categories accounted for 54.8% of overall sales in the current quarter compared to 52.1% last year. Our lumber and lumber sheet goods declined as a percentage of sales, while other building products and service category was relatively flat compared to last year. Gross margin percentage was 22.6% in the current quarter, up 90 basis points from 21.7% last year. Our gross margin percentage increased largely due to improved customer pricing and a higher mix of value added sales. For the current quarter our SG&A expense increased $13.5 million. Of $13.5 million increase $5.5 million related to expenses associated with the recently announced ProBuild acquisition, $800,000 related to an increase in stock comp expense and $1 million related to an increase in depreciation and amortization. As a percentage of sales SG&A expense increased to 22.3% compared to 20% in the first quarter of 2014. Of this 230 basis point increase 150 basis points related to acquisition expenses and approximately 50 basis points related to increases in stock comp expense and depreciation and amortization. Excluding these expenses our SG&A expresses a percentage of sales was 20.4% in the current quarter compared to 20% last year. This remaining increase was largely due to the result of investments made in employees and equipment to support current and future sales growth and to a lesser degree the negative impact of commodity price deflation on our sales. Interest expense was $7.6 million for the first quarter of 2015, a decrease of $1.2 million from last year. The decrease was primarily related to $1.4 million reduction in the non-cash, fair value adjustment related to outstanding stock warrants, issued in connection with our 2011 term loan. We recorded $200,000 of income tax expense compared to $100,000 million income tax benefit in the first quarter of 2014. We recorded an increase in the after-tax, non-cash valuation allowance of our net deferred tax assets of $3.1 million and $1 million in the first quarters of 2015 and 2014 respectively. As of March 31, 2015 our gross federal income tax net operating loss available for carry-forward was approximately $264 million. Loss from continuing operations for the first quarter of ’15 was $7.2 million or a $0.07 loss per diluted share, compared to $3.3 million or a $0.03 loss per diluted share last year. Adjusted loss from continuing operations for the first quarter of ’15 was $2 million or a $0.02 loss per diluted share, compared to $2.1 million or a $0.02 loss per diluted share last year. Adjusted EBITDA was $11.3 million or 3% of sales, compared to $8.6 million or 2.5% of sales in the first quarter of 2014. Adjusted EBITDA flow through on our incremental sales for the current quarter was approximately 11%. Operating cash flow was $9.9 million for the first quarter of 2015, compared to $13.8 million in the first quarter of 2014. During the first quarter of 2015 we used approximately $5.8 million of cash on hand to acquire Timber Tech Texas, a manufacturer of roof and floor trusses located in the San Antonio metro area. Capital expenditures were $9.1 million for the first quarter, an increase of $3.8 million over the same quarter of 2014. Total liquidity at March 31 was $141.2 million, including $36.8 million of cash and $104.4 million in borrowing availability under our revolver. We had $55 million in outstanding borrowing as of March 31. I’ll now turn the call back over to Floyd for his closing comments.
Floyd Sherman: Thank you, Chad. Demand for our new housing continues to slowly, yet consistently improve and we look to use this momentum to grow our revenues and market share, while continuing to improve our operating margins. Our recently announced transaction with ProBuild, which we expect to close in the second half of 2015, will be a high priority for us in the coming months, and we look forward to being able to bring the best talent in the industry together as one team. We believe this transaction significantly enhances our opportunity for growth, and we have never been more excited about the future prospects for our company. I’ll now turn the call over to the operator for Q&A.
Operator: [Operator Instructions]. And we’ll first go to Rob Hansen from Deutsche Bank.
Rob Hansen : Thank you, guys. So the first question I had was, I just wanted to ask about the revenue growth and get kind of what the acquisition impact would have been on revenue during the quarter. So just trying to kind of get an organic growth figure outside of lumber for prefab and millwork and what not.
Chad Crow: Well for the quarter the acquisitions contributed 6% of our 7.2%. Core BFS or legacy BFS if you will, volume was up 2.2%, but that was offset by about 1% due to the commodity deflation.
Rob Hansen : Got it, okay. And then in terms of, were there any weather impacts during the quarter and have you seen any kind of rebounded volumes since then and kind of how has April been so far?
Floyd Sherman: Okay, during the first quarter we obviously had some impact form the winter weather that we experienced that primarily ran all through our operations. We probably lost five to six shipping days, but again that volume is not necessarily lost. We pick it up then in following days when weather allows us to get back on the road again. The problem that we had was that delayed construction, a lot of concrete work did not get done in the first quarter that normally would have been done. That issue has been somewhat complicated now as we move into April and April I think is definitely being affected by the large amount of rain that we are experiencing, at least through our building areas that’s slowing things down. But overall we are seeing an improved flow in April. I think the builders are continuing to report the continuing improvement in their backlogs, I can tell you, we are seeing in our truss backlogs, in our millwork backlogs, in the other panel backlogs, we are seeing almost record levels for us in work that’s out ahead of us and that is a good indication that we have some strong building ahead of us. I think it’s just all now predicated on getting the improvement in weather, where we can get on the job sites and where the builders can get progressing with the homes that they got to deliver. So I’m looking forward to April being a better transition. I think right now slightly better than what we experienced in March. I shouldn’t say slightly, better than what we’ve seen in March and I think the momentum is going to carry on through the rest of the quarter. So I’m looking for a pretty solid second quarter.
Rob Hansen : That’s really helpful commentary. Wanted to just follow-up on that is in terms of the backlog that you are seeing, and I think you mentioned it was probably a little bit more on the prefab side and millwork and what not, the kind of value added products. Is this in relation to – the builders are looking more towards using these kind of value added products, so your essentially kind of gaining share within your customer base or are you adding – or is it more like your adding some smaller regional builders and they are recognizing the benefits of the value added package.
Floyd Sherman: I think we are definitely adding a good mixture of the large financial builders, as well as regional builders and local market builders, semi custom and custom builders. There is a growing trend towards the value added products in the construction cycle. Certainly with the shortage that exists in labor today on the construction sites are helping to increase the sales on those products, but we’re continuing to add new customers, as well as continuing to take expanded positions with existing customers and the backlog for us is really a good I think forward picture of what we can expect in the way of housing construction from our customers throughout our building area. And as I said, the backlog, whether it be trusses and panels, whether it be installed millwork, whether it be windows and doors, all of those items we’re seeing and expanding backlog and its all predicated on being able to get onto the job sites.
Rob Hansen : Great. I really appreciate the color. Thanks guys.
Operator: We’ll now go to Trey Grooms from Stephens.
Drew Lipke: Hi guys. This is actually Drew Lipke on for Trey. The first question, you continue to do a really good job in terms of the margins and I know this is also a tough comp; you’re in this first quarter. This level of margin expansion that we’re seeing, do you think that’s pretty sustainable as we look out through the rest of the year?
Chad Crow: No, we certainly look to continue to increase our margin as we go throughout the year; pretty difficult to quantify that. A lot of that depends on volumes, commodity lumber prices, but yes. The short answer is yes, we definitely will look to continue to expand our margin as the year progresses.
Floyd Sherman: And typically our first quarter margins, is the lower quarter for us in terms of our margin performance. So we are very pleased with what we saw in the first quarter. Our people are responding extremely well to improving not only the sales of value add products, but we’re continuing to try to improve the pricing on all of our products to the construction markets that we serve. We still have ways to go, we’re still not back anywhere close to what we’ve been on the historical past, but at least we’re closing that gap and I think we’ll continue to close that gap.
Drew Lipke: Okay. And then on the Texas market, are you seeing any – you talked about kind of Houston, you saw a slowdown on the high end last quarter. Have you seen any noticeable changes there as you look at the different regions within Texas and have you seen that sort of slowdown maybe triple down to some lower price to the kind of lower end homes at this point yet.
Floyd Sherman: We have seen in Houston in particular, we’ve seen – the improvement has been, I would say slowly but consistently getting better. We’re now looking at our Houston market. It looks like it’s down 8% to 10%. Initially that number was running considerably higher than that in the beginning of the year. We’re starting to see some building in the lower side, lower end of the market, so that’s encouraging to us. The other market, San Antonio, Austin, Dallas are all looking good right now. We really have not seen anything in the way of a fall off. In fact we’ve really seen some nice improvements in our business quarter-over-quarter in those markets.
Chad Crow: Other than some of the weather delays that we had already addressed.
Floyd Sherman: Yes.
Drew Lipke: Right, okay. And then last one from me just on SG&A. I know previously we kind of excluding the one-time costs associated with ProBuild you know, I think you guys have pointed to sort of mid to upper 18% sales range. Any update on what we should be expecting there? How much more do you see in terms of the investments with employees and equipment needed and then maybe how should we think about this with ProBuild as well?
Chad Crow: Well, we haven’t changed our long term outlook on our ability to leverage our OpEx. The headwinds we faced recently here is the commodity deflation, which has a negative impact on your top line, so you can be delivering more volumes, but you’re not getting the dollars running through, so that’s a tough headwind at times. And then just the overall, the slower growth on the housing starts side. So our long term thesis has not changed. I still think we’re going to be able to drive that number down into those ranges that you’ve just suggested and long term I still think even as a combined company going forward with ProBuild. We should be able to be at least that efficient from an OpEx side once we get through the integration process.
Floyd Sherman: And of course with ProBuild it’s going to also largely determined getting on getting down from one operating system where they now have sort of multiple operating systems.
Drew Lipke: Got it. All right, thanks Chad, thanks Floyd.
Floyd Sherman: You bet.
Operator: We’ll now go to John Baugh from Stifel.
John Baugh: Thank you. Good morning. I was curious about between now and when ProBuild closes, will you be able to have any at all meetings and work towards your synergies and how you plan to hit the ground running or are you prevented in any way from doing that?
Chad Crow: Well, we do have to keep running as separate companies, but we are able to have integration meetings, planning meetings. You can do all the planning you want. You just can’t start actually implementing anything and that’s a great question, because we just got back from Denver for a couple of days this week and had those initial pick up meetings with ProBuild’s management team and it went really well and we’re just now starting to lay the ground work for figuring out where we want to get to and building that road map to get there and putting the teams together to do it, but we have started that process.
Floyd Sherman: But John, as you probably know, any data involving any overlap areas or even non-overlap areas; anything related to customers, product sales, market sales, anything in that area, we cannot exchange data whatsoever. That all has to be done through a clean room and an independent third party to do any analysis work, but other than that we can do as Chad said, all the planning and so forth, getting ready for execution as the data transaction closes.
John Baugh: Right. And Chad, do you have any – could you give us your best guess quarterly maybe over the next three quarters, how south east housing starts might play out?
Chad Crow: I wish I had that crystal ball. South east is essentially our markets and we’re kind of budgeting internally for slow and steady growth. So I think I would except to see somewhere in 8% to 10% starts growth over the next couple of quarters in our market.
John Baugh: Okay, super. Good luck. Thank you.
Chad Crow: Thanks John.
Operator: And we’ll now go to Trey Morrish from Barclays.
Trey Morrish: Hi guys, thanks for taking my questions.
Chad Crow: You bet.
Trey Morrish: Could you describe what you think the on-time in-fold delivery rates are between Builder and ProBuild?
Chad Crow: We haven’t gathered that information yet. That’s probably something I’d have to get back to you on.
Trey Morrish: Okay. And then could you describe what will you feel your technology and systems provide a competitive advantage in the industry?
Chad Crow: Well, I think as Floyd alluded to a moment ago, the fact that we are one system is certainly an advantage to several of our larger competitors. I also think the fact that we own the source code over the years has been highly customized that’s hit our business. I think our results have proven. Its allows us to be one of the more efficient operators in the industry and so I certainly see that as an advantage and being on one system, not only can you be more efficient from the headcount standpoint, but just the real time access we have to our business on a day-to-day basis to be able to make decisions quickly I think is also very important.
Trey Morrish: All right, awesome. And following up on that, how long do you think it could take you to implement one system between Builder and ProBuild?
Chad Crow: That’s something we’re still trying to get our arms around. It’s going to be a multiyear process. I’d probably say you’re looking at two to four years, something like that.
Trey Morrish: Okay. I got it. Thanks guys, I appreciate the insight.
Floyd Sherman: You bet.
Operator: [Operator Instructions] We’ll not go to Justin Bergner from Gabelli & Company.
Justin Bergner: Good morning Chad, good morning Floyd.
Floyd Sherman: Good morning.
Chad Crow: Good morning.
Justin Bergner: My first question relates to sort of an interesting factor in your 10-K, where you talked about I guess the largest customers growing in 14% to 25% of your revenue versus I think it was 22.5% the year before. I was wondering if you might just be able to flush that out for us and also speak to whether or not that’s a favorable mix development for the business.
Chad Crow: Floyd may have something to add to this as well. We’ve always kind of hovered around that 22% to 25%. I do think part of that is as Floyd mentioned earlier, our ability to provide the components as a higher mix of our products. Our ability to scale in general with the larger builders I think has been important as we’ve come out of the housing recovery. We have the infrastructure; we have the liquidity to grow as fast as we need to, to keep up with the pace of the large builders. So off the top of my head that would be the first two items I would say would attribute to that growth.
Justin Bergner: Okay, great. My second question relates to just trying to better understand sort of the incremental margins and some of the puts and takes. My first question is, are you able to quantify how much EBITDA came from acquired properties in the quarter and my second question is how much of a headwind should we think about from sort of the lumber deflation at the EBTIDA level this quarter?
Chad Crow: Well, on the acquisitions we made, obviously they were heavily weighted towards value ad and so their EBITDA contribution was higher than the company as a whole, so they are still performing very well and is obviously part of our strategy to improve our mix in those categories. From a commodity deflation standpoint, it is a headwind for us. The simple math I do says, let’s just say we had a 10% price deflation over an entire year and so we feel the full impact of it. I think a 10% price decrease would probably result in about a $10 million decrease in gross profit dollars and so it would have a fairly significant impact on EBITDA. That’s why we’ve always said, the higher prices and the stable prices are the best environment for us. So this is – it’s a challenge right now.
Justin Bergner: Okay, that’s helpful. I mean as a rule of thumb, could someone just sort of take the lumber deflation and apply a 10% incremental margin to it or something thereabouts to get a rough sense as to what the headwind would be?
Chad Crow: Yes, you could. I usually go about it by just looking at our product mix and kind of calculating it from the top down. If you figure out what it might do to our cost and then the fact that we typically mark up those commodity lumber products to get somewhere in the neighborhood of a 20% margin you can pretty quickly do the math to see how that might flow through.
Justin Bergner: Okay. My third and final question relates to the competitive environment in your industry given what looks like a less optimistic view of housing starts now versus three months ago. I know that you were sort of planning around 10%, maybe some of your competitors were planning for a little bit higher and it seems like 10% is sort of in the high end of what we might expect now for ’15. What is the competitive dynamic like? Had the price pressure started to subside or you’re seeing yourself having to walk away from less business?
Floyd Sherman: We are still continuing to walk from business to where we just don’t feel that – and this is especially true in the commodity side of the business. That’s where we have done most of our walking from the business to where it just doesn’t pay us to chase that business at both price points. I think a lot of that has to do with the fact that when commodities are continuing to go into decline, people are stuck with inventories and they start trying to move their inventories at whatever prices they can get out of it, rather than sit and hold on it. They need to turn those dollars to continue to support the business and for a number of other reasons, but there’s always been pricing and we certainly have strong competition for even that value add products and we lose some of those business, because we don’t get what we think are appropriate margins, but most of the business loss is coming out of the lumber, lumber head good category. My feelings about building and the activity in building, I’m not maybe as pessimistic as you are. I think the first quarter was definitely influenced by weather. I think we’ve seen I think above normal rain conditions through much of our building area that’s affected and even slowed April somewhat, but I’m very encouraged by what I see in backlog of business that’s building up. The feeling among our builder customers are still very positive. They certainly don’t seem to be backing off of their building plans and for what they are giving us for forward planning is still in the range that will meet the targets that Chad said, that 8% to 10% and I feel that’s going to be the level of activity that we’re going to see. So as building conditions continue to improve, then I’ll take some of the capacity over supply conditions out and gradually we’re going to see a steady improvement in the pricing that we have in this business. So I’m very optimistic as I look forward and in fact I feel certainly better this year than what I did last year at this point in time.
Justin Bergner: Great, that’s very helpful. Would it be fair to say that the competitive environment has not worsened from a quarter ago, even the start numbers in the first quarter were pretty modest.
Floyd Sherman: No. I don’t think Texas has worsened, certainly not from the business that we’re seeing and in all of the markets that we serve and Houston seems to be recovering from initially I think that was maybe an overreaction and I though certainly there was job loss and it certainly impacted Houston more so than our other markets in the state, but I think that seems to be subsiding and Houston is coming back.
Justin Bergner: Great. Well, best of luck with ProBuild and the rest of the year.
Floyd Sherman: Okay, thank you.
Operator: And our next question comes from Matt McCall from BB&T Capital Markets.
Matt McCall: Thank you. Good morning guys.
Chad Crow: Hey Matt.
Matt McCall: So Floyd you mentioned the growing trends for value ads and then Chad I think you were talking about the acquisitions being named at value ad. So tying this back into you margin commentary, if I look over the last few years and it looks like Q2 to Q4 averaged about 50 basis points better than Q1. Given this trend for more value ad and the acquisitions are obviously going to help that, could the improvement be a little bit better than that. I mean not quantifiable, but directionally could it better than what you’ve been seeing in previous years?
Chad Crow: I think it certainly could be, especially with the backlog we’re looking at. I’m as optimistic as Floyd, both the top line and from a margin standpoint, so absolutely, there could be some upside there.
Matt McCall: Okay, the backlog, what you see in backlog in terms of mix, how does that compare and I’m specifically looking at the value ad, but how does that compare to what you were seeing in Q1 of last year?
Floyd Sherman: Our backlog is a lot better that what we saw in Q1 of last year. In fact look I said we are almost at the best levels we’ve seen in a long time in the backlog of our value added products and the pricing is also equal or I mean better than what we say in the first quarter last year.
Matt McCall: Okay and then finally Chad on the SG&A line, you talked about the impact of investments and stock comp. Same type of question, relative to the deleveraging you saw in Q1, what’s the expectation for the remainder of the year, specifically with those two items?
Chad Crow: On the stock comp that, charge you saw in the first quarter will be representative of what we would see the rest of the year, was that your question?
Matt McCall: Yes, and then the investments kind of in people I think you talked about some machinery, different things like that…
Chad Crow: Yes, I think we are still a little heavy there, as we talked about on some prior calls. We carried a little bit of extra people cost and facility cost through the winter in anticipation of the spring selling season. So we got a little cushion there to take on more volume, but once we get to a certain point the variable side of our business will kick in again as volume increases and that’s typically the delivery side of the business where you are needing more drivers to deliver product, some more equipment and then the salesmen commission piece of our business is variable as well. But we have some room to grow there.
Floyd Sherman: Some of the reason that we, in addition to what Chad has said, he’s definitely very accurate, but another reason why we have taken on additional drivers and additional health in our operations is due to the fact the drivers are very, very scarce, very hard to find and any opportunities we can, where we can hire additional drivers, we’ve done it, so that we could make sure that were fully covered when it came to the busy months, because the last thing you need is to have a good improvement in business and not be able to get it out, either from pulling the loads and pulling all various products, loading their crops and so we’ve continually been beefing up labor in order to make sure that we can take care of the volume when it comes our way in the better building season.
Chad Crow: And I think the same logic applies to truss designers. It’s really hard to, truss designers are in tight supply these days as well and so we head on to our design capacity and that’s certainly going to payoff as Floyd mentioned, because we do have a very large backlog that we see coming. So I think that was a good move as well.
Floyd Sherman: Good point.
Matt McCall: Okay, perfect. Very helpful, thank you.
Operator: And we will now move to Jay McCanless from Sterne Agee CRT.
Jay McCanless: Good morning guys.
Floyd Sherman: Good morning Jay.
Jay McCanless: Two questions from you. First one, what should we think about for legal costs for 2Q and I know the rest of the year maybe tough, but any guidance you could give us on how to frame 2Q?
Chad Crow: Oh! Gosh, that’s a tough one. A lot of that depends on the timing on the transaction and how things progress. I guess the way I would answer that now is, best guess there is maybe another $15 million or so of expected transaction type cost that will come over the next couple of quarters, but exactly how that will play out, I don’t know yet.
Jay McCanless: Okay, all right, that’s helpful, thank you. The second question I had and this also relates to ProBuild, but a different way. What are you seeing right now from suppliers and more importantly, what are you seeing from competitors? How are they responding to the deal, how are they positioning themselves relative to what should become a very large company pretty soon?
Floyd Sherman: Our interaction with the suppliers has been strictly, its business as usual. For the two companies we have not tried in any way to start getting into advanced talk with the suppliers, to talk about the future of the company on a combined basis, got to stay away from that and we will respect the legal requirements that we have in that area and so any attempts that have been made to engage us in those type discussion we said have to be put off unit the transaction is closed and it’s really hard to do, because you want to be able to jump in and see what advantages we can produce, but we have stay away from it and I think the same thing is probably is true from ProBuild side. As far as the completion, this business has always been right with people who know all of the answers before they see any of the data and we are going through some of that now. We have a couple of competitors who just really feel that they can attract people and they can built their business doing it in a traditionally and a legitimate ways. They got to try to create issues and build their business off of creating problems for somebody else, but I guess that may be sometimes the way competition is. They are trying, but I think there will be very limited success. I think both of our companies have enough strong points going for us that our people are smart enough to read between the lines.
Jay McCanless: Got it, okay. And then I think you already answered this one, but lumber thus far in 2Q looks like Southern Yellow Pine moving higher, but some of the other species continue to move lower. Do you guys expect a similar deflationary impact from lumber this quarter as to what you saw in 1Q?
Floyd Sherman: I would like to say no, but where I sit right now, the weather right now and I just follow on a weekly basis, we are continually following the production incoming orders on lumber at the mills levels, the shipments. The weather is really impacting it and especially the Southern Yellow Pine guys and they certainly have seen while their prices have head up better, it’s still not really good, but they have recently with all of this rain, they certainly are seeing some – we are seeing the price fall in Southern Yellow Pine. I really think we are going to – I think we are close to seeing a bottom and I think we are going to start – my feeling is we are going to start seeing a gradual, but slow improvement on the commodity pricing side. I just can’t see how the mills can continue operating at the type price points that they have right now, especially the OSP guys and my feelings is the second quarter and third quarter, we are going to see better pricing than what we are going to see right now.
Jay McCanless: Okay, perfect. Thanks guys.
Operator: [Operator Instructions] We will now take our question from Rob Hansen from Deutsche Bank.
Rob Hansen: Thanks. I just had one follow-up. In terms of your customers, you’ve probably been out and had a bunch of conversations with customers. I just wanted to see if you had any kind of early feedback and I realize you are not out there trying to run the companies as combined companies or anything like that and there is strict separation, but just kind of any early feedback from customers that you have, where you kind of talked to them yet. Here is the combination and obviously what it looks like and have there been any fears or anything like that. So anything along those lines would be great, thanks?
Floyd Sherman: I think the feedback that we certainly have had has been positive. I think the customers feel that, hey it’s interesting. They are obviously going to be watching it closely, to see how it might affect them long term. I think they understand the value proposition and what this combination can do in the market place for makings us a more efficient provider and overall I think it’s been a very positive reaction.
Rob Hansen: Great, thanks guys.
Operator: And it appears there are no further questions. I’ll turn the conference back over to our presenters for any additional and closing remarks.
Floyd Sherman: Okay. We appreciate everyone joining the call today. If you have any follow-up questions, don’t hesitate to give Chad or Marcie a call here in Dallas. Thanks and have a great week.
Operator: This concludes today's presentation. Thank you for your participation.